Operator: Good day, and thank you for standing by. Welcome to the EverCommerce Inc. Second Quarter 2021 Earnings Conference Call. At this time all participants are in listen-only mode. After the speakers’ presentation there'll be a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to speaker today. Brian Denyeau. Please begin sir.
Brian Denyeau: Good afternoon, and welcome to EverCommerce’s earnings conference call for the second quarter of fiscal year 2021, which ended on June 30. On the call with me today is Eric Remer. EverCommerce's Chief Executive Officer, and Mark Thompson, EverCommerce's Chief Financial Officer. A complete disclosure of our results can be found in our press release issued today, which is available on the Investor Relations section of our website. Today's call is being recorded and a replay will be available following conclusion of the call. Statements made on this call may include forward-looking statements regarding our financial results, products, customer demand, operations, the impact of COVID-19 on our business and other matters. These statements are subject to risks, uncertainties and assumptions and are based on management's current expectations as of today, and may not be updated in the future. Therefore, these statements should not be relied upon as representing our views as of any subsequent date. In addition to any risk that we highlight during the call, important factors that may affect our future results are described at the most recent SEC reports and today's earnings press release. We will also refer to certain non-GAAP financial measures to provide additional information to investors. A reconciliation of non-GAAP to GAAP historical measures is provided in our press release and investor presentation, which are posted our Investor Relations website at investors.evercommerce.com, with the primary differences being depreciation and amortization, stock-based compensation, acquisition related costs and other non-recurring costs. In terms of the agenda for today's call, Eric will provide a quick overview of our second quarter results, as well as review our market opportunity and growth strategy. Marc will then provide an overview of our financial model, a detailed review of our second quarter results and provide our guidance for the third quarter and full year 2021. With that, let me turn the call over to Eric.
Eric Remer: Thank you, Brian. Welcome everyone to EverCommerce's second quarter financial results call, our first as a publicly traded company. Our successful IPO was an important milestone for the company. It enhances our ability to deliver on our mission to power the service economy with software solutions, that digitally transform millions of small service-based businesses around the world. A $1 trillion global market opportunity is massive, made up of plumbers, physicians, home remodelers and wellness professionals that support our lives every day. We believe our growth strategy and suite of tailored modern SaaS solutions uniquely positions us to penetrate this large, fragmented landscape. With a rapidly growing customer base of over half million SMB service providers across more than 200 countries, we've only just begun. Let's begin with a few highlights of our Q2 financial results, which were strong both in terms of revenue and adjusted EBITDA. We reported total revenue of $121.1 million, up 53% year-over-year, adjusted EBITDA of $27.6 million, representing a 23% margin. Since this is our first call as a public company, I would like to start by spending a few minutes provide an overview of the business, our strategy, and the opportunity ahead for EverCommerce. First, for those of you who are new to our story, EverCommerce is a leading service commerce platform. We provide vertically tailored integrated SaaS solutions that transform end-to-end business and consumer experiences. In the last five years, our business has grown by a factor of 20, and we're just scratching the surface on the opportunity. Let me step back and highlight what we are seeing in the marketplace today. First, the service SMB market is huge. 77% of U.S. GDP is generated by service businesses. 40% of U.S. GDP is generated by SMBs. And approximately 50 million people are currently employed by service industries. The vast majority of service businesses that support our homes, our health, and our well-being are small businesses, and their customers, we as consumers no longer want to deal with paper-based processes and invoices. We want convenient, digitally [Technical Difficulty] and next generation of business owners who are more tech savvy, understand the benefits of digital solutions and are increasingly integrating technology into the everyday operations of their business. Still, the service SMB market is under penetrated with only 9% of our target customers utilizing end-to-end solutions to run their businesses. This is in large part, because existing solutions can't meet the unique needs of SMB service owners. Custom solutions like ERPs have historically been primarily built for large enterprises and are not affordable. These broad solutions also tend to lack the specialization required to meet the specific needs of the service industries. And point solutions, which have grown in popularity, such as workflow marketing and customer engagement, often lack the integrations to create seamless end-to-end solutions. These limitations have stunted technology adoption for service-based small businesses, who lack the budget and resources to customize and connect these solutions themselves. EverCommerce has taken a differentiated approach to the market by creating vertically tailored solutions that solve specific business problems for SMB service companies. Our solution center on a system of action that drives a service businesses day-to-day operation, think of a field service management solution that manages work orders and deploys technicians to on-site jobs in their service areas, or practice management solutions that support day-to-day operations for small medical practices. We then integrate horizontal solutions including payment processing, digital marketing and lead generation, and customer engagement applications to create an end-to-end experience for both the consumer and the business. The improvement of the consumers experience increases the loyalty and grows revenue for small businesses, while the digital transformation of the business improves efficiency at the same time. As these businesses grow, they can adopt more solutions and features increasing our ARPU and our customer lifetime value. It’s this organic growth flywheel that fuels the growth of EverCommerce. Finally, to increase our speed to market and maximize the vertically tailored features of our software, we have built an M&A engine to find, acquire and onboard best of breed solutions into our essential ecosystem. This inorganic [Technical Difficulty] increases velocity of vertical and geographic penetration, while providing value-add, complementary solutions for our customers. We're currently focused on three specific verticals within the service SMB market, which we believe represent particularly attractive growth opportunities. The home service vertical, a $59 billion North American market opportunity is focused on several key industries, including field services, home improvement and remodeling, and security alarm specialized service professionals. The health service vertical, $84 billion North American market opportunity is focused on supporting the digital transformation and approved patient engagement of small and medium sized physician, especially care practices. The fitness and wellness vertical, a $21 billion North American market opportunity and our industry most impacted by the pandemic is focused on recovering industries of single and multi-location fitness and instructional dance, and salon and spa professionals. We’ve rapidly scaled the business in the past five years, generating $407 million of revenue over the past 12-months ending June 30, 2021. Our strategy to drive future growth is supported by our massive underpenetrated market opportunity, built upon our scaled operations, and dual organic and inorganic growth engines. First, we are focused on new customer acquisition and cross-sell upsell to our more than 500,000 customers within our current product portfolio. We are at the earliest days of driving growth with the solutions we have today, and believe we can generate strong consistent organic growth. Second, we expect to continue to execute on our successful M&A strategy to acquire additional solutions that expand the value we deliver to customers. We've executed on 51 transactions in the past five years, and have developed a highly repeatable and scalable onboarding program that leverages our expertise in operations, payments, and digital marketing to augment the vertically tailored software we provide. The service S&P software market is highly fragmented. Our ability to efficiently acquire and scale these solutions has enabled us to generate value, for both customers and our shareholders. I'll provide some details on one of our recent acquisitions in a moment. Turning to our second quarter results in more detail, we had a strong performance across our solutions. I'd like to spend a moment reviewing the trends that we're seeing in each of our three core verticals. In the home service vertical, our EverPro brand represents a suite of solutions, such as field service management and alarm monitoring software that provides a vertically tailored solutions needed for specialty home technicians and contractors. This vertical continues to perform well and was our fastest growing in the quarter. Rising home prices, low interest rates and durable trend at work from home has driven demand for skilled services like contractors, plumbers, HVAC and landscape professionals to name a few. Small businesses in these markets are experiencing high demand for their services, and are looking for simple-to-use, a powerful technology that can help them to capture and manage this demand, and provide the experience the customers expect. This dynamic which we expect to continue drove the strong interest in adoption across our EverPro solutions in the second quarter. In the Health Service vertical, our EverHealth brand represents a suite of solutions, such as electronic health record and practice management solutions that help physicians and practitioners provide more efficient, more engaged patient care. This vertical also had a strong quarter and is benefiting from the rise of personalization and consumerization in healthcare, as well as the growing popularity of telemedicine.  We are seeing particular strength with our patient engagement solutions, which provide convenient digital experiences for scheduled appointments, receive reminders, accessing medical records, test results, and providing 24x7 access to their health information. We're seeing physician practices embrace our technology and new opportunities to create deepen and improve care and patient relationships. In the Fitness and Wellness vertical, our EverWell brand represents a suite of solutions such as memory and facilities management, and salon and spa management, needed for fitness and wellness professionals to automate scheduling and client services. This vertical show continued improvement in the second quarter, but certain micro verticals continue to feel the impact of COVID-19. Many fitness providers have been under pressure as their consumers have only gradually begun to return to in-person classes, following extended closures. Conversely, our salon, beauty and wellness areas are rebounding very well, and are back to pre-COVID trends. The trends we're seeing in fitness and wellness are highly localized and impacted by vaccination and contagion rates, as well as government mandates. We recently expanded our penetration of fitness and wellness with the acquisition of Timely, a global appointment booking and business magnate software company that is used by SaaS, spas and salons in the UK, Australia and New Zealand. Timely has built a strong business serving more than 50,000 beauty professionals, who book more than 30 million appointments annually. Timely is a great example of our M&A strategy at work. This is a system of action solution that broadens our penetration in the existing vertical, expands our global reach as growth opportunities leveraging our current digital market expertise, and provides another avenue to integrate our existing payment solution. Let me wrap up by reiterating how excited we are at the way the business is performing. We executed well against all of our strategic goals in the second quarter, and meaningful accelerated top-line growth. With a successful completion of our IPO, we are now fully focused on expanding our growth both organically and through strategic acquisitions. We believe we have clearly established EverCommerce and industry tailored brands as a software platforms of choice for service SMBs, which is one of the largest opportunities in the entire software market. We are confident in our ability to be the primary winner in this market, and build a much larger, increasingly profitable business over time. We are enabling the digital transformation of the service economy to provide unique access to the next generation of leading SaaS platforms that are serving the vertical and micro vertical SMB service businesses. I will now turn it over to our CFO Marc Thompson. Marc, over to you.
Marc Thompson: Thanks, Eric. Today I'll provide an overview of our financial model, review our second quarter fiscal 2021 results, and also provide our outlook for the third quarter and full year fiscal 2021. To start, EverCommerce has a highly recurring and reoccurring revenue model that consists of recurring SaaS subscription and transaction solutions, and reoccurring marketing technology services. Subscription and transaction revenue represents about 70% of our total revenue today. And included within is our payments business, which is about 14% of our overall revenue. We expect this segment to continue to drive the majority of our growth going forward. The other meaningful component of revenue is our marketing technology solutions, which is primarily focused on lead generation and other solutions that help our customers grow their customer bases. This reoccurring revenue represents about 25% of the business today. Given more than half of our revenue is generated within our Home Services vertical, we do experience some seasonality and our consolidated results, with Q4 and Q1 being the most impacted quarters. Underscoring our focus on delivering our SMB customers, valuable solutions and a great customer experience, we have realized the stable average monthly net revenue retention rate above 99% in each of the last eight quarters. Now with that background, let's turn to our second quarter results in detail. Total revenue in the second quarter was $121.1 million, up 53% from the prior year period. Within total revenue, subscription and transaction fees were $85.1 million, up 64% from the prior year period, and marketing technology solutions were $32 million, up 38% from the prior year period. As Eric discussed, M&A is a core part of our growth strategy. As a result, we believe it's also important for investors to evaluate our business growth on a pro forma basis, which is how we measure and manage the business internally. We calculate our pro forma revenue growth as the Lowe [ph] acquisitions closed, as of the end of the latest period were closed, as of the first day of the prior year period, thereby including results prior to our ownership. We believe the pro forma growth rate provides the best insight into the underlying growth dynamics of our business. Our pro forma growth rate for Q2 was 31% year-over-year, and 21% for the year-to-date period versus 2020. While our performance in Q2 was very strong, it did benefit from lower Q2 comps, as Q2, 2020 was the period when we felt the most impact from COVID. Overall, we were pleased with the strong recovery and continued improvement in growth across the business during the quarter. Growth trends across all three end markets strengthened during the quarter, and our marketing technology solutions continue to see strong momentum. Now let's review the income statement in more detail. As a reminder, unless otherwise noted, all metrics are non-GAAP, and we've provided a reconciliation of GAAP to non-GAAP metrics in our press release and Investor presentation. Adjusted gross profit in the quarter was $80.2 million, or an adjusted gross margin of 66%, compared to an adjusted gross margin of 63% in the second quarter of fiscal 2020, reflecting a mix of about 70% of revenue from subscription and transaction revenue, versus about 66% in Q2, 2020. Now turning to operating expenses, sales and marketing expenses were $22 million, or 18% of revenue up from 13% of revenue in the prior year period. This increase was primarily driven by continued investments in growth through our various marketing channels and personnel. Product development costs were $12 million or 10% of revenue, up from 8% of revenue in the prior year period. This increase was due to investments and additions to our technology teams to support our various solutions, as well as centralized security operations, information technology and cloud engineering. G&A expense was $18.7 million or 15% of revenue, down from 18% in the prior year period. Our business is built around our centralized operating model, which aggregates many of the functions of our various operating units at headquarters. This has been a key component of our ability to scale as quickly as we have. We will continue to invest in the infrastructure to support our rapid growth, scalable operations and being a public company. We expect that these investments, particularly the investments related to being a public company, will accelerate in the second-half of 2021, following the completion of our IPO in early July. Q2 adjusted EBITDA was $27.6 million, which was an increase of $8.1 million or 42% from the year ago period. Adjusted EBITDA margin was 23%, down 1% versus the year ago quarter, but quite strong considering our investments in growth and scalable operations. We expect the adjusted EBITDA and related margin to reduce in Q3 given [Technical Difficulty] in Q3, and as we continue to invest in growth opportunities, and scalable operations in the second-half. On a GAAP basis, our Q2 net loss was $24.3 million, or a loss of $0.56 per share based on weighted average basic shares outstanding of $43.7 million. On a GAAP basis, our Q2 loss from operations was $10.8 million. Turning to the balance sheet and cash flow, we ended the quarter with $202.6 million in cash, cash equivalents and restricted cash. Total debt at the end of the quarter was $766 million. Total net leverage is calculated per our credit facility at the end of the quarter was approximately 4.3 times using credit agreement defined adjusted EBITDA. Subsequent to the end of the quarter, we successfully completed our IPO, which raised net proceeds of $347.8 million, including the exercise of the over allotment option, as well as the $75 million concurrent private placement by Silver Lake. In addition, we've successfully completed a Term Loan B financing, which lowers our cost of debt by approximately 225 basis points, and put in place a $190 million revolving credit facility. Adjusted for the net proceeds from the equity financings and our recent debt refinancing, our as adjusted net leverage at the end of Q2 would have been approximately 1.4 times using credit agreement defined adjusted EBITDA. As adjusted net leverage does not reflect the use of cash for Timely, which was approximately $99.9 million. Our long-term target is to run the business with net leverage of approximately 2.5 to 3.5 times, credit agreement defined adjusted EBITDA and lever up the 4 to 4.5 times to fund acquisitions. Our financial profile and balance sheet is a strategic asset for the company, ensuring we have significant capital available to deploy to invest in organic and inorganic growth initiatives. I'd like to finish by providing our outlook, beginning with the third quarter. Please note that our outlook for Q3 and the full year 2021 includes our acquisition of Timely, but the outlook excludes any impact from M&A which was not completed by the end of Q2. As we have previously indicated, we will report the contribution from acquisitions in the period in which they are required, so we expect to discuss our Q3 acquisitions during our Q3 earnings call. For Q3, we expect total revenue of $122 million to $124 million, and we expect adjusted EBITDA of $23 million to $24 million. And for the full year, fiscal 2021, we expect total revenue of $471 million to $474 million, and we expect the Justice EBITDA of $100 million to $102 million. A few things to keep in mind as you consider our guidance for the remainder of the year. First, our business is performing at a high level and is tracking ahead of our prior expectations for the year. In particular, we are pleased with the momentum across our business, notably in our EverPro and EverHealth verticals. Second, pro forma growth in Q2 on a percentage basis was aided by lower comps, because Q2 of last year was the most difficult operating quarter from a COVID perspective. While we continue to see strong business activity, the pro forma growth rates in the second-half of 2021 will be lower than our Q2 pro forma growth rate, because we began to see improvements in our business in the third and fourth quarters of 2020. Third, we continue to see headwinds from COVID, particularly in our fitness and wellness vertical, where we're selling in Australia, New Zealand and the UK, all of which have been experiencing shutdowns and other COVID-related challenges. While we have not seen any material impact to our business, yet, from this most recent Delta variant wave, it is something we're closely monitoring. To summarize, EverCommerce is performing well on both our core drivers, organic growth and acquisitions. Our results reflect the accelerating desire for digitization from service SMBs. This is a trend that we expect to benefit our business for years to come. We believe we have the ability to deliver an attractive combination of strong top-line growth and improving profitability in the coming years, which we are confident can generate meaningful value for shareholders. With that, we'd like to open up the call for Q&A. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from Sterling Auty with JP Morgan. Your line is open.
Sterling Auty: Yeah, thanks. Hi, guys. So looking at the improvement in the pro forma growth year-to-date to 21%, you did mention the easy compares. But within the areas of improvement, can you peel back the onion a little bit more and give us a sense which of the verticals saw the bigger improvement in that pro forma growth? And why?
Marc Thompson: Thanks for question, Sterling. This was Marc, why don't I start with that. And as you know, we don't break out vertical performance. But it's fair to say that each of the verticals performed well through the quarter and for the year-to-date period, and we feel quite positive about the growth drivers across each of the verticals, including growth from new customer acquisition, upsell, cross-sell et cetera.
Sterling Auty: Alright, great. And then one follow-up would be when you look at the new guidance for the full year, help us understand to what extent or to what magnitude is there contributions from Timely and medical design that were not already reflected in street models?
Marc Thompson: So Timely, which is in our outlook, I think was in streets models. MDTech is not. And as we discussed previously about the cadence in which we want to operate, we will report on M&A when we report on the period in which it was acquired. So in Q3, we would expect to report on a contribution from MDTech as well as a forward contribution too in the outlook changes going forward.
Sterling Auty: Understood. Thank you.
Marc Thompson: Thank you.
Operator: Thank you. Our next question comes from Brent Bracelin with Piper Sandler. Your line is open.
Brent Bracelin: Thank you, and good afternoon. Maybe one for Eric and one for Marc, if I could. Eric, I’d love to get your view around the international opportunity. The Timely acquisition clearly signals a greater appetite to expand internationally. How is the integration of Timely going so far? And is that changing how you're thinking about attacking the international market, either more confidently more aggressively, or maybe pausing given some of the Delta variant activity happening out there?
Eric Remer: Brent, thank you for the question. So I'll take the first part in terms of what we're looking at. I’ll let Matt Feierstein, our President has also joined us talk about the integration of Timely thus far. So yeah, we've been actually pretty active Timely, as are including Canada, probably our seventh international acquisition. We have UK, Australia, Amman, Jordan, and now in New Zealand. And we're seeing opportunities, both in Western and Eastern Europe as well. So, we've been pretty proactive, looking at opportunities to expand existing verticals, geography, and potentially go into new verticals, into new geographies. And so, we're excited. We think the opportunities that we see abroad often have potentially better prices and some in domestic, so we continue to be opportunistic in looking for those opportunities. And in terms of the integration of the Timely, I'm going to pass it over to Matt and walk through where we are so far.
Matt Feierstein: So with all of our acquisitions we immediately began onboarding the acquired solutions into our centralized operating platform. That includes our operational infrastructure, functions like finance and accounting, legal, HR, and talent acquisition, as well as our growth functions really focused on marketing, product strategy, and go-to-market and general managements, and these are significant focus areas for the first 90 to 120 days. Obviously, based on the solution type and with Timely, that's a solution that we're going to remain focused on as a discrete system of action, business management, software. Onboarding projects are also focused really on embedding our marketing and growth themes, and really identifying and actioning those horizontal integrations or enhancements, like payments, and like customer engagement.
Brent Bracelin: Helpful color there. I guess, Marc for you, I want to go back to pro forma growth. It really stood out here in the quarter pretty sharp acceleration. I know you can't talk and don't discuss kind of the vertical breakouts quarter-to-quarter. But did you see a meaningful uplift tied to cross-sell or payment attach rate? Or, was it really just an easier compare with Q2 being the first quarter where you saw some SMB turn and challenges tied to COVID last year? Any color there would be helpful?
Marc Thompson: Look, I think the business absolutely continue to accelerate in a positive way, kind of across all fronts. But no question we've benefited from an easier compare in Q2 just given that that was the period for us in which COVID impacted us the most.
Brent Bracelin: Got it. Super helpful. That's all I had. Thank you.
Operator: Thank you. And our next question comes from Matt Hedberg with RBC Capital Markets. Your line is open.
Matt Hedberg: Hey, guys, thanks for taking my questions. Maybe I'll start Eric, in your prepared remarks you noted I think the payment is 14% of revenue. Can you give us a sense for the penetration in your base? And when you add that, what does that typically do to wallet spend with a customer?
Eric Remer: Yes. Thanks, Matt, appreciate the question. Matt, you want to take that one?
Matt Feierstein: Yeah, absolutely. So I think we've said this in the past, from a volume perspective, when you think about that $7.5 billion dollars of PPV that we had through at the end of 2020 that was about 10% penetration on volume standpoint, when you think about it on a customer location standpoint. And we look at the applicable business management systems of action customer basis, that penetration in terms of attach rate is about 30%.
Matt Hedberg: Got it. Thanks, Matt. That's helpful. And then maybe just a quick one for Marc, you gave a revenue and EBITDA guidance, but I'm wondering if you could help us with the share count that we should assume for either 3Q and if possible the full year from a non-GAAP perspective?
Marc Thompson: So obviously Q2, the IPO wasn't complete. So the share count going forward in Q3 pro forma for the IPO, going to be on the range of $197 million.
Matt Hedberg: Got it. Thanks a lot, guys. Congrats on the quarter.
Eric Remer: Thank you, Matt.
Operator: Thank you. Our next question comes from Samad Samana with Jefferies. Your line is now open.
Samad Samana: Good evening, and thanks for taking my questions and congrats in the first quarter out of the gate. So, one of the things that I wanted to ask about is obviously EverCommerce is great at attracting new customers. And I'm curious, I know it hasn't been that long since the IPO. But I'm curious as you think about maybe the brand itself if you’re starting to see any branding benefits from being public? And just generally how maybe even zooming out from that how the top of the funnel is looking and conversion, given some of the uncertainties in the background, obviously, your results are great? I'm curious if you're seeing better activity at the top of the funnel.
Eric Remer: I'll take the first part, and I'll hand it over to Matt. It's a little early to get the benefit of being public at this point. I don't think the EverCommerce brand has popped international yet. But I think the opportunity to continue to invest in both the sub brands EverPro, EverWell, EverHealth, we think we'll start seeing some benefit to that down the road. Matt, you want to talk about the pipeline?
Matt Feierstein: Yeah, and I’d just add to that finer point, we've spoke about this in the past, you talked about the brand. And historically through today, we've really been utilizing those solution brands. We are taking to market more of this kind of Ever brand approach at the macro level, which really is helping us from today on position, that more complete value chain of integrated solutions to potential customers. So we are excited about seeing the potential impact of that from a conversion standpoint. We've talked about it before. Digital really remains our core channel from that scalability and productivity perspective, approximately 80% of new customer acquisition comes from digital and digital really continue to perform well, through the beginning of the year through Q2. It's been an organizational core competency for over 16-years, with our go-to-market Inception with PaySimple. Again, as we think about that go-to-market, we're complementing it with channels like partnership. And we're excited about the return to in-person industry, trade shows and events. And these are really efficient and valuable channels that are going to help us continue to create awareness and generate interest in our solutions with those SMBs in addition to digital. So digital continues to perform really, really well from a conversion standpoint, and was definitely underpinned that strong customer acquisition growth in Q2.
Samad Samana: Great. And then maybe just a follow-up on the M&A side, I know that it's an important part of the company's strategy and you mentioned it earlier as well. As I think about maybe the primary focus verticals given that they're recovering somewhat unevenly. Is that influencing maybe what the M&A strategy will be in the short-term? Or, should we think about it as wherever is most opportunistic, just maybe thinking about the impact of the reopening on how you are thinking about your M&A strategy?
Eric Remer: It's a great question and we think about internally quite a bit. If I step back just a second and talk about how we look at M&A, we looked it by companies for three main reasons. Number one, expanding capabilities in existing verticals. Second, look to expand geographic opportunities and existing protocols. And then third, look to enter new verticals. And so as we're looking at really that question on the top two, it's a little bit more opportunistic. Even though, fitness wellness has been the industry most affected, we're incredibly excited with a Timely acquisition that we just made, both in the geographical -- again, even if New Zealand, as we all know has been partially shut down. We think the long-term prospects of that opportunity within the spas and salons is huge. So we'll be opportunistic, looking for great opportunities in all of our core verticals.
Samad Samana: Great. Thanks again, taking my questions and great start to the public period.
Eric Remer: Great. Thank you so much.
Operator: Thank you. Our next question comes from Bhavin Shah with Deutsche Bank. Your line is now open.
Bhavin Shah: Great. Thanks for taking my question, and congrats on the IPO and the strong second quarter. I got one for Matt or Eric, can you just maybe talk about the progress you’ve made cross selling your solutions during the quarter? And how should we think about that timeline are really pushing those Ever brands that you just spoke about?
Matt Feierstein: Yeah, I would say I’d start from the back to the front. From a timeline perspective, as you can appreciate, brand transition is a long-term journey. It's certainly not a destination. So we're going to be very specific about how we do that. Certainly, test and learn into that to continue to take advantage of the strong brand equity we have in those solutions brands. But at the same time look for all of the advantages that we can get out of that Ever brand approach, which is going to drive more of that integrated sale, more multi product sale from that perspective. So, again, I would say think of that more as a long-term journey across the course of learning in, call it 12 to 18-months over that period of time. The second question was…
Bhavin Shah: Yeah, just on your ability to cross sell during the quarter.
Matt Feierstein: Cross sell path, absolutely. Absolutely, a growth driver in Q2, we continue to see nice progress from a cross-sell perspective on payments integration, that is where we had and are coming into the quarter, the most miles under our tires to-date. And we continue to make really, really strong progress from that perspective. Our integrations from a customer engagement application standpoint continue to improve, which helped us to really kind of start that cross-sell. And Marc spoke to in his remarks, strong performance from a marketing technology SaaS standpoint, and we saw benefit from cross-sell there as well.
Bhavin Shah: Perfect. Thanks so much, and congrats again.
Eric Remer: Thanks, Bhavin.
Operator: Thank you. Our next question comes from Brad Reback with Stifel. Your line is now open.
Brad Reback: Great. Thanks very much. Historically, you guys have only used cash pretty much to do your acquisitions. Post the IPO here, do you think that changes how you think about paying for deals?
Eric Remer: Yeah, I think we've obviously a combination of cash and debt. And we have used equity to some extent, as rollover as part of our deals. I think in a similar fashion, I think the companies that we've been talking to going forward will be interested in our equity as well. I think cash still become the primary. But the opportunity to supplement that and make a deal more appealing to potential sellers, we would consider utilizing equity as well.
Brad Reback: That's great. And then Marc, maybe two quick ones for you. Obviously, big revenue upside in the quarter, just trying to figure out if there was any incremental inorganic there versus original expectations. And then looking forward to the back-half of the year, how conservative have you been with the potential for the Delta variant to cause additional headwinds? Thanks.
Marc Thompson: So, there was no M&A completed in Q2. So there's none of that in the results. And in terms of your second question, Brad, with respect to the Delta variant, I think we have absolutely factored COVID into our outlook in the second-half. We've certainly been through this before, and we have factored that into our outlook with some conservatism in the second-half.
Brad Reback: That’s great. Thank you.
Operator: Thank you. Our next question comes from DJ Hynes from Canaccord. Your line is now open.
DJ Hynes: Hey, guys, congrats on the good start here. I want to ask another question on cross-sell. I don't know if it's for Eric or Matt. But how much is self-serve versus what you're actively selling? In other words, like, what do push versus pull dynamics look like there? And then is there a typical timeframe after you execute an acquisition where you start to see the most momentum on the cross-sell front?
Matt Feierstein: Yeah, thanks for the question DJ. I’ll start with, from a timeframe standpoint, it's going to vary by solution. So depending upon the level of integration of that kind of horizontal component, when we get to that customer base, or as that customer comes on board, that could be different. So for an entity or for one of our business management system of action solutions that already has integrated payments, that cross-sell could happen fairly immediately, that could be a time of sale, or a very, very fast follow-up in the first 30, 60 to 90-days. If it is an add-on piece of functionality that we integrate later, obviously, that cross-sell could happen a little bit later in that customer's journey. Second part of that question was…
DJ Hynes: Just push versus pull dynamics, how much you are actively selling versus self-service?
Matt Feierstein: Thank you for reminding me that. I get so excited about the first part. Honestly, DJ it’s both, we do both push versus pull. We're obviously looking at indicators from a customer data standpoint, when it might make sense to introduce a second or third product to one of our customers. From that perspective, we're going to be looking at data and actually pushing that that could be in product that could be follow-up from a customer sales rep. And from a pull perspective, we will also find customers that are coming to us after they've gotten started on a business management software and have integrated themselves into core workflows of that, and are then seeing the availability to add another efficiency driver like integrated payments, they could be coming to us directly as well. So it's a bit of both.
DJ Hynes: Yeah. Okay. Make sense. And then maybe a quick follow-up for Marc. Just how do you think about EBITDA to cash conversion ratios? Do you have targets out there? And how might those changes the business scales?
Marc Thompson: So thanks for the question. We think of conversion of adjusted EBITDA, the cash flow to be in that 70% to 80% range, that's been fairly consistent over time and don't really expect that to change. And we do look at that internally as a more or less a normalized way to look at our cash flow generation, because obviously, we have some significant fluctuations quarter-to-quarter given the M&A.
DJ Hynes: Yep. Perfect. Thank you, guys.
Marc Thompson: Thank you.
Operator: Thank you. Our next question comes from Brian Peterson with Raymond James. Your line is open.
Brian Peterson: Thanks for taking the question, and congrats on the strong results. So maybe one for me just on the IPO was a branding event. I know I've got to ask from a customer perspective. I'm curious if that's changed anything on the M&A side? Are you guys seeing as a great destination for potential targets or anything that's happened to the pipeline there, curious to get your thoughts? Thanks.
Eric Remer: Thanks, Brian. I think, I would like to believe we are deemed as a positive destination prior to the IPO. And I will say that we've gotten a lot of the -- at least some of the pipeline that we've been working with kind of pre-IPO definitely got their attention and got some additional inbound discussions from groups that we had been in contact with. So I think it was a positive event for us. We kind of showed where we were related to scale and opportunity and growth and allowed us to tell the story, or publicly to some of these organizations. So I think it was definitely a positive event. And we've seen some of the benefits of that already.
Brian Peterson: Great. Thank you.
Operator: Thank you. Our next question comes from Kirk Materne with Evercore. Your line is open.
Kirk Materne: Thanks very much. Eric just kind of curious, when we look at your sort of horizontal solutions and the attach rates, are those generally proportional with sort of the sizes of the specific verticals, whether it's EverPro, EverHealth or EverWell? Just kind of curious how we should think about sort of the adoption rate of those horizontals solutions, if one maybe is ahead of the game than others? And then how do you think about balancing that? Meaning, when you're building sort of your go-to-market playbook for each one of those businesses, there are certain ones that you want to focus payments on heavier than the others. I know, you don't want to get into too many details, first part you just talked about this, like, more at a higher level. But just any thoughts on that would be helpful. Thanks.
Eric Remer: Great. Thanks for the question, Kirk. I'll start at a high level and then Matt and Marc could jump in. The answer is, yes, each individual vertical has its own different ways of doing business. So if you just think from our EverHealth division, that would not be a core place that you're going to penetrate major payments, because you're dealing with a lot of more traditional claims processing, versus EverPro payments would be a much more obvious attachment similar with salons and gyms. And so, based on the verticals that go after each individual horizontal solution will make more sense, based upon how those businesses workflows and how those businesses actually do business. Matt, you want add to that?
Matt Feierstein: No, from a proportion standpoint, just based on the size of our ecosystem, you're spot on that really proportionally when you think about something like integrated payments, it's going to follow their proportions of the business as a whole today.
Marc Thompson: And I think the same follows for the marketing technologies solution. Today, that's over indexed towards the home services field. But they are horizontal, and we call them that for a specific reason. We intend to be able to drive those across each of the verticals. That's a great question, Kirk.
Kirk Materne: Okay. And then just one maybe follow-up along the M&A lines. When you bring on an M&A solution, do you push harder with that from sort of a go-to-market perspective in terms of what you spend on that digitally, right after you buy it? Meaning, is there a sort of a fast push with some of those? Or, do you just let it sort of unfold naturally? I was just kind of curious, when you bring these really good technologies on a much bigger distribution platform, do you try to gun it upfront to try to get more awareness, more adoption upfront? Or, is it something that sort of -- I'm sure, maybe it depends on the answers, maybe it depends. But I was just kind of curious how you handle that as you bring a new product to the market more broadly?
Eric Remer: Well, it's a great question. And we don't let anything just naturally do anything because if we do that, nothing will really happen. So there's a proactive process that we go through the diligence that we have a very detailed plan that our growth engagement team puts in place prior to closing the acquisition. After what happens, Kirk, as we close the deal, most of the companies we buy are subscale businesses who don't have the infrastructure in place to go big right away. So the first thing we're often doing is creating the infrastructure, lead capture, lead generation, tracking mechanisms, so once those are in place, we can actually put the pedal to the metal and go fast with those organizations. If an organization is little more sophisticated, and the infrastructure is in place, they just didn't have the sophistication on the actual digital marketing, we can be much more aggressive in our earlier timeframe. So we're very thoughtful about making sure prior to making very big proactive investments and those new acquisitions, we've invested in the backend infrastructure to capture the demand and capture the leads, and ultimately the conversion of those sales.
Kirk Materne: Thanks very much. Congrats on the quarter.
Eric Remer: Thanks, Kirk.
Operator: Thank you. [Operator Instructions] Our next question comes from Pat Walravens with JMP. Your line is open.
Pat Walravens: Oh, great. Thank you. Let me add my congratulations. Eric, let me maybe go sort of big picture here since it’s your first quarter outlook as a public company. What do you think are the top two or three strategic imperatives for you over the next 12-months? So of all the things you have to do, what are the top two or three most important ones?
Eric Remer: I'll take it. I'll start on a bigger picture, then I'll go into more specifics. And on a bigger picture, we want to stay at the forefront of the acceleration of the digitization of the service economy. So everything we're doing is focused on how do we make sure that we have software and solutions that allow the service based SMBs that we provide value to both domestically and abroad be most successful. So within that internally, I think as we've talked about a couple of times already, from an organic standpoint, the two biggest opportunities are to increase the new customer acquisition, and then secondly, which will remain probably our biggest opportunity for several years to come, the upsell, cross-sell opportunity into over half a million customer base. And so those are the two kind of internal organic. And I'd probably lean a little bit on just the long runway of the upsell, cross-sell. Secondly, from an M&A perspective, which is kind of a core focus to us, it was asked earlier about how the branding of being public, we think we are getting a little bit of tailwind, being public now in some of the M&A opportunities that we've been looking at. And so making sure that we are selectively looking at those opportunities that we think are going to drive the most kind of long-term value to overall ecosystem, and finding those right customers, right acquisitions to join the ecosystem. So that's how I really look at it, both from an organic perspective, inorganic, those would be really the three main priorities of the company.
Pat Walravens: Awesome. Thank you.
Operator: Thank you. And at this time, I'm showing no further questions in the queue. I'd like to hand the conference back over to Mr. Eric Remer, for closing comments.
Eric Remer: Well, I appreciate everyone's time and appreciate the questions that were asked. As we said on the remarks earlier, we're incredibly excited about not only the performance of the quarter, but kind of as we look forward, we do feel we are the leading provider of solutions that are really digitizing the service economy. And we expect to stay in the forefront of that process and creating the integrated tailored solutions that make the service SMBs that we serve more successful, and that really is the core and the vision and really the goal of the company that we work on every single day. So really, to close off again, thank you again for everyone joining the call today. And we look forward to talking to you again real soon.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect. Everyone, have a wonderful day. Good-bye.